Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Westlake Corporation fourth quarter and full year 2024 earnings conference call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in a question and answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, February 24, 2025. I would now like to turn the call over to today's host, John Zeller, Westlake's Vice President and Treasurer. Sir, you may begin.
John Zeller: Thank you. Good morning, everyone, and welcome to the Westlake Corporation conference call to discuss our fourth quarter and full year results for 2024. I'm joined today by Albert Chao, our Executive Chairman, Jean-Marc Gilson, our President and CEO, Steve Bender, our Executive Vice President and Chief Financial Officer, and other members of our management team. During the call, we will refer to our two reporting segments, housing and infrastructure products, which we refer to as HIP or products, and performance and essential materials, which we refer to as PEM or materials. Today's conference call will begin with Jean-Marc, who will open with a few comments regarding Westlake's performance. Steve will then discuss our financial and operating results, after which Jean-Marc will add a few concluding comments, and we will open up the call to questions. During the third quarter of 2024, we accrued $75 million of expenses related to the decision to mothball two units within our European Epoxy business. Additionally, during the fourth quarter of 2023, we recorded a non-cash impairment charge of $475 million related to the company's Epoxy business as well as a $150 million charge to fully resolve certain liability claims. We refer to these three charges as the identified items in our earnings release on this conference call. References to income from operations, EBITDA, net income, and earnings per share on this call.
Operator: As such,
John Zeller: comments made on this call will be in regard to our underlying business results using non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to GAAP financial measures is provided in our earnings release, which is available in the Investor Relations section of our website. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. These risks and uncertainties are discussed in Westlake's SEC filings. We encourage you to learn more about these factors that could lead our actual results to differ by reviewing these SEC filings, which are also available on our Investor Relations website. This morning, Westlake issued a press release with details of our fourth quarter and full year results. This document is available in the press release section of our website at westlake.com. We have also included an earnings presentation, which can be found in the Investor Relations section on our website.
Operator: A replay of today's call will be available beginning today.
John Zeller: two hours following the conclusion of this call. This replay may be accessed via Westlake's website. Please note that information reported on this call speaks only as of today, February 24, 2025, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. Finally, I would advise you that this conference call is being broadcast live on an Internet webcast system that can be accessed on our web page at westlake.com. I'd like to turn the call over to Jean-Marc Gilson. Jean-Marc?
Jean-Marc Gilson: Thank you, John. And good morning, everyone. We appreciate you joining us to discuss our fourth quarter and full year 2024 results. During the fourth quarter, each of our segments delivered year-over-year sales volume and EBITDA growth while advancing several key initiatives to improve Westlake's future earnings potential, including continuing construction on a new PVC pipe to satisfy strong customer demand in our HIP segment. We have taken decisive action in reducing structural costs in our business, such as the mothballing of ACH and ACH units in Pernis and other company-wide cost-saving initiatives approximating $50 million in the fourth quarter. This brings total cost savings for the year to $170 million, exceeding our target. Overall, I'm pleased with the progress the team is making to position Westlake for continued growth well into the future. For the fourth quarter of 2024, we reported sales of $2.8 billion and EBITDA of $416 million, an increase of 7% compared to the fourth quarter of 2023 EBITDA of $390 million. Sales volume increased year-over-year in both of our segments, highlighted by a strong 7% growth in HIP driven by continued solid demand for pipe and fittings, and siding and trim. Meanwhile, PEM's volume growth of 1% was driven by export market demand and higher polyethylene production levels, with some lines setting new production records during the quarter. While PEM's volume grew year-over-year, average sales price was impacted by capacity increases across the industry. We also delivered on our proactive cost control measures across all of our businesses, with EBITDA margin improving in each segment in the fourth quarter of 2024 compared to the same period in 2023. Regionally, North America was a bright spot for us during the fourth quarter, as demand remained relatively strong in both segments. Our performance in North America was aided by a broad product portfolio in HIP, a strong and differentiated portfolio in PEM, and a globally advantaged feedstock and energy position, and a high degree of vertical integration. Before turning the call over to Steve to review our financial results in more detail, I want to take a few minutes to review some of our key accomplishments in 2024. First, our HIP segment achieved record income from operations of $807 million and a record EBITDA margin of 24%, driven by strong 8% sales volume growth. HIP is now set annual records for income from operations in each of the last five years, demonstrating the consistent solid growth characteristics of its underlying housing products and infrastructure product business. HIP's EBITDA of $1.1 billion in 2024 and operating income of $807 million contributed 85% of our total segment's operating income in 2024. These record results provided stability to our overall earnings in 2024 with an asset-light, cash-generative business model with leading market positions in North America. Second, we began construction on a new PVCO manufacturing plant in Wichita Falls, Texas, to support the continued strong customer adoption of this innovative product that improves the municipal pipe installation process with a reduced environmental footprint. Third, we returned approximately $325 million to shareholders through dividends and share repurchases, which demonstrates our commitment to rewarding shareholders and a value-based approach to share repurchases while we grow the company. Finally, we finished the year with a solid investment-grade rated balance sheet highlighted by $2.9 billion of cash and cash equivalents, providing flexibility to pursue growth opportunities. Taken together, I'm very proud of our 2024 accomplishments, and I would like to thank our nearly 16,000 team members for their hard work and dedication that enabled these achievements and the record HIP results. I would now like to turn our call over to Steve to provide more detail on our financial results for the fourth quarter and full year of 2024, Steve.
Steve Bender: Thank you, Jean-Marc, and good morning, everyone. As a reminder, for comparison purposes, my comments regarding income from operations, EBITDA, net income, and earnings per share exclude the financial impact of the $75 million mothball expense accrual that occurred in the third quarter of 2024, as well as a non-cash impairment charge of $475 million related to the company's Epoxy business and the $150 million charge to fully resolve certain liability claims that occurred in the fourth quarter of 2023. Westlake reported net income of $7 million or $6 per share in the fourth quarter on sales of $2.8 billion. Net income for the fourth quarter of 2024 included a one-time non-cash charge of approximately $45 million or $0.35 per share for the revaluation of state deferred tax assets and deferred tax liabilities caused by recent legislative changes in Louisiana. We are in dialogue with the state to address solutions to mitigate the impact of this recent legislation. Fourth quarter EBITDA of $416 million increased $26 million from the fourth quarter of 2023 as a result of higher sales volumes, particularly in HIP and our targeted cost savings actions. For the fourth quarter of 2024, our utilization of the FIFO method of accounting resulted in an unfavorable pre-tax impact of $64 million or $0.36 per share compared to what earnings would have been if we reported on the LIFO method. This is only an estimate and has not been audited. We delivered $50 million of cost reductions in the fourth quarter, achieving $170 million of total cost reductions in 2024, exceeding our target of $125 million to $150 million. For the full year of 2024, we reported net income of $677 million and EBITDA of $2.3 billion. Compared to our 2023 results, 2024 sales of $12.1 billion declined 3%. The lower full year 2024 sales were the result of solid 7% growth in sales volumes, particularly in pipe and fittings and port vinyls, that was offset by a 10% decline in average sales price, particularly for core vinyls and epoxy resin. Turning to our segment results, HIP sales in the fourth quarter rose year-over-year driven by a 7% increase in sales volume. Volume growth was strongest in our pipe and fittings business, in part due to orders from the third quarter being shipped in the fourth quarter as a result of the wet weather and hurricane impacts that we called out in our last earnings call. HIP's EBITDA margin of 19% in the fourth quarter of 2024 improved from the prior year period as cost production efforts more than offset the impact of lower average sales price. HIP income from operations of $807 million was a new annual record in 2024. HIP's earnings growth in 2024 was driven by a strong 8% sales volume growth with particular strength in pipe and fittings. The record EBITDA margin in 2024 of 24% was driven by higher sales volumes, better product sales mix, and our cost reduction actions. HIP's record earnings demonstrate the earnings capability of our business and also illustrate the benefits of our vertical integration strategy. As we begin 2025, HIP's sales volumes growth continues to look solid ahead of the start of the spring building season. Moving to our PEM segment, fourth quarter EBITDA of $416 million increased $26 million from the fourth quarter of 2023. The year-over-year increase in EBITDA was the result of higher sales volumes, particularly for polyethylene driven by increased customer adoption of recent product innovations, such as our Pivotal one pellet solution. Sales volumes grew 1% year-over-year driven by growth in export demand and increased production as a result of improved plant reliability. PEM's fourth quarter EBITDA margin of 12% improved from 11% in the fourth quarter of 2023 driven by our cost reduction efforts. In EBITDA of $1.2 billion for full year 2024 was lower than 2023 results primarily due to lower global sales prices and margins as a result of softer demand created by weaker global economic conditions and our two extended maintenance outages that occurred during the third quarter of 2024. Turning to the balance sheet and cash flows, as of December 31, 2024, cash and cash equivalents were $2.9 billion and total debt was $4.6 billion. Our balance sheet continues to be well-positioned with a 15-year average debt maturity life. For the fourth quarter of 2024, net cash provided by operating activities was $434 million while capital expenditures were $285 million, resulting in free cash flow of $149 million. During 2024, we returned approximately $325 million to shareholders, and in the fourth quarter, we returned approximately $125 million to shareholders in the form of dividends and share repurchases. We continue to look for opportunities to strategically deploy our balance sheet in order to continue to create long-term value for our shareholders. Turning our attention to 2025, let me address some of your modeling questions and provide some guidance for the year ahead. Housing industry consultants forecast that housing starts for 2025 will be similar to 2024 at 1.3 million. The depth and breadth of our portfolio of building products and broad geographical reach across North America provides a platform for continued growth in our HIP segment in these market conditions. Thus, based on our current view of demand and prices, we expect revenue in our housing and infrastructure product segment to be between $4.4 billion and $4.6 billion with an EBITDA margin of 20% to 22%. We expect our total CapEx spend to be similar to our depreciation run rate. This includes costs for a planned turnaround at our PetroOne ethylene unit, which began at the end of January and is projected to last approximately 60 days. For the full year of 2025, we expect our effective tax rate to be approximately 23%. We also expect cash interest expense to be approximately $160 million. Now let me turn the call back over to Jean-Marc to provide a current outlook on our business. Jean-Marc?
Jean-Marc Gilson: Thank you, Steve. Sustainability and environmental stewardship remain critical to our mission at Westlake. I want to take a moment to recognize some of our key accomplishments in 2024 to advance our sustainability efforts. Examples include Westlake being recognized by the Polymers for Europe Alliance as the winner of the decarbonization category of the 2024 Polymer Producer Awards for its efforts to reduce CO2 emissions. Also, beginning a pilot program with a leading US hospital chain to use post-consumer recycled PVC material. And also investing in Universal Matter, which has pioneered and patented technology that transforms carbon waste streams into high-quality graphene for use in industrial products. These are just a few examples of ways that Westlake is working to increase the sustainability of our products and improve the environment. Before we open the call for questions, I want to provide some closing thoughts on 2024 and our current outlook for 2025. 2024 was another record year for our HIP segment, which did an amazing job growing sales and earnings. It demonstrated strength in our brand offerings of building products and broad geographical position across North America, serving our customers with an innovative product pipeline. Reasons that support a constructive outlook for this segment in 2025. This provides overall stability to Westlake's earnings and cash flows while exemplifying a disciplined capital deployment track record. Turning to the PEM segment, we see continued demand growth in our end markets such as packaging, coatings, lightweighting materials, and construction. A differentiated product portfolio combined with our globally advantaged feedstock and energy position, and a high level of vertical integration provides us a strategic advantage to deliver value to our end market customers and remain globally competitive. While we recognize the global macroeconomic backdrop has some uncertainties overhanging demand growth in 2025, we are focusing on actions that are within our control and which improve our businesses. We have taken proactive steps to reduce our cost structure and rightsize our European Epoxy asset footprint and reinforce our long-term competitiveness throughout the cycle. We expect to deliver $125 million to $150 million in cost reductions in 2025, and we'll maintain a disciplined and balanced approach to the allocation of capital. We will continue to optimize our business to drive operational performance and reduce our cost. Finally, as 2025 unfolds, we will look for new opportunities to redeploy our solid investment-grade balance sheet where our net debt is less than one time our trailing EBITDA. We continue to view our solid balance sheet with its ample borrowing capacity as a strategic advantage. With industry-leading financial flexibility, we will opportunistically pursue growth options. Our focus in 2025 will be upon being disciplined stewards of shareholder capital as you have come to expect of us. Thank you very much for listening to our fourth quarter earnings call. I will now turn the call back over to John.
John Zeller: Thank you, Jean-Marc. Before we begin taking questions, I would like to remind listeners that our earnings presentation, which provides additional clarity into our results, is available on our website, and a replay of this teleconference will be available two hours after the call has ended. We will provide that information again at the end of the call. Tawanda, we will now take questions.
Operator: Thank you. Ladies and gentlemen, to ask a question, to withdraw your question, please press star one one again. Please stand by while we compile the Q&A roster. Our first question comes from the line of John Monoke McNulty with BMO Capital Markets. Your line is open.
John Monoke McNulty: Yeah. Good morning. Thanks for taking my question. So I guess the first one would just be on the HIP margins. It looks like you're looking for a little bit of margin degradation as we look to 2025. I guess, can you help us to think about the dynamics behind that, especially in what looks to be a growth environment for you, at least for your platform?
Steve Bender: Yeah. Good morning, John. It's Steve. And so as you think about the guidance we provided from revenue, you can see that we do expect to see growth in our products. But I'd say the guidance that we're providing in our margin and the EBITDA margin is really more of a products mix shift that we're expecting to see. As you need, as you can see, we have a broad array of products we do expect there'll be a change in a slight change in that mix, which might have some impact that's the guidance and our margin.
John Monoke McNulty: Got it. Okay. Thanks for the color on that. And then on the $125 million to $150 million of cost cuts that you're looking for this year, sounds like a lot of it's gonna be in the PEM segment, but can you just confirm kind of roughly how you see that mix playing out by division?
Steve Bender: Yeah. I'd say it you know, there will be continued efforts in both sides of our business, but I would say that areas in and areas such as in logistics and procurement are gonna be areas that are gonna be big contributors. Those do impact not only the PIM side, but also the HIP side of the business. So there is efforts to really look to optimize the footprint of the business and in doing so, there'll be opportunities to get benefits both in procurement and then overall SG&A and just managing our budgets much tighter and tightening that belt.
John Monoke McNulty: Got it. Thanks very much for the color.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Patrick Cunningham with Citi. Your line is open.
Patrick Cunningham: Hi. Good morning. You know, we've heard over the last few weeks, you know, a bit of a tougher outlook for some of the homebuilders, you know, maybe some suggestions of a more hawkish Fed. Yeah. Any concerns this leads to, you know, further volume pressure on your end? Or is this sort of what you're kind of seeing in your mix declines? And maybe if you could comment on the areas of strength, whether it's R&R, public infrastructure, you know, benefits from PECO that kinda gives you confidence in, you know, that 5% to 7% target for the year.
Steve Bender: Yeah. We do continue to see some growth, and you can see that we're looking at consultants. We see 1.3, which was similar to starts in 2024 being similar to what we expect in 2025. Certainly, that I think that is the commentary you're hearing from many of the builders. But I would say that we have confidence in the team and you can see that we're guiding to really have a growth in market penetration in this space. And so as we think about having the opportunity to grow our overall platform geographically, and from a product perspective, we continue to think that we'll see good growth in overall revenues. As I mentioned earlier in my comments, I do think there'll be some product mix that could cause some compression in the delivery margin that we had in 2024, but certainly we're working very diligently to see what we can do to keep that margin as strong as possible given the market dynamics.
Patrick Cunningham: Understood. And then just a question on tariffs, so, you know, specifically on PVC. Have you seen any impact on trade flows from some of the existing ADP and tariffs against the US? And do you expect, you know, potential for these tariffs and maybe even retaliatory tariffs down the road to have a negative impact on US exports?
Steve Bender: Yeah. So we're certainly watchful of the potential impact of incremental tariffs that could arise in any retaliatory tariffs that may come from other trading partners. But to your question, we have seen products shift in terms of trade patterns all throughout the course of this past year or so. And I do expect that should there be additional tariffs or kind of availing tariffs, that there could be other changes in product flows as well. It's something that we'll just have to continue to monitor and react to as circumstances develop.
Operator: Thank you. Please standby for our next question. Next question comes from the line of Salvatore Tiano with Bank of America Securities. Line is open.
Salvatore Tiano: Thank you very much. Firstly, I want to go back to your guidance. And you mentioned that the margin issue is mostly a shift in the mix. So firstly, can you elaborate a little bit on, you know, what are these products that you expect? Will it gain share versus what may lose share or you may not grow as much? And secondly, you know, last year, I think you started with similar guidance, perhaps actually even lower on the margin front and you delivered 24% EBITDA margin. So you know, how conservative I guess would be a similar way to ask, is this guidance and what's the opportunity for upside here as we saw last year?
Steve Bender: Yeah. Well, clearly, as we think about the guidance we provided historically, we've tried to give you some clarity in terms of how we see the year progress. And at this early stage in, you know, in February, we do expect that the business will continue to see as I say, that 1.3 million starts as we've seen from consultants. But I think the guidance we're providing is, I think, in line with a rather conservative approach that we've taken historically. And so, certainly, there are mix of products that are in our portfolio that have stronger or less strong portfolio margins in those. Marketplace, we're gonna remain competitive. And there is a degree naturally of conservatism in our outlook as we look forward into 2025. Given the relatively flat housing start numbers we have, for this year relative to last.
Salvatore Tiano: Okay. Perfect. Then I also want to ask specifically about pipes and fittings. There was a note in your presentation that there were competitive pressures there, and I believe that has been the main source of margin upside for you in the past couple of years. So can you elaborate a little bit more what's going on there, whether it's lower demand or increase or increase supply? And what's kind of the outlook for 2024 versus 2025 specifically for this product?
Steve Bender: Well, you could see from our prepared remarks, we called out both pipe and fittings as well as siding and trim as strong contributors in the fourth quarter. Of course, there has been some additional capacity in the marketplace. But we continue to see that our portfolio being broad and deep and having a broad geographical fit allows us to address market demand as market situations in these various geographical markets play through this year. So we remain, I think, very constructive in our outlook in the HIP side of the business. And think that that broad portfolio as well as that broad geographical footprint provides us the opportunity to meet demand wherever it might be, be it on the west or the southeast, the far west or the northeast.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of David Begleiter with Deutsche Bank. Line is open.
David Begleiter: Thank you. Good morning. Just on PEM, could you help us with the bridge from Q4 to Q1 given the FIFO impacts? The PetroOne outage, higher ethane prices than other drivers?
Steve Bender: Yeah. David, as you think about that, you know, certainly is we saw some significant headwinds both in feedstocks as well as an overall pricing at the end of this past year, and certainly with some of the pricing dynamics that we've seen in the first few months of the new year. So, clearly, you understand in a falling price environment, we certainly face a headwind given our FIFO approach. And so as we think about the outlook, we continue to see strength really in some of the feedstocks, and we'll continue to see price nominations to address that. You've seen price nominations in many of our product portfolio offerings. Polyethylene, PVC, caustic, and others. And these are all designed to address both the demand picture we're seeing as well as some of the input cost pressures we're also seeing.
David Begleiter: Very good. And just on epoxy, Steve, could you address your performance in Q4 and your expectations for at least maybe the first half of the year?
Steve Bender: Yeah. So I would say, David, you know, that that business continues to see some improvement. I think you're well aware of the actions that we've seen both in Europe and the United States with any dumping provisions. And I would say that we've also seen result of some of those actions improvement in overall demand and I would expect to see that continue into 2025. I don't see certainly the recovery we would like to see until we get beyond 2025, but I do expect the trends will improve.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Christina Lowe with JPMorgan. Line is open.
Jeff Zekauskas: This is Jeff Zekauskas. Can you tell us what the volume and price change was for the year?
Steve Bender: Yeah. So, Jeff, good morning. And so when you think of the volume changes that we saw really in the PEM side, we saw for the year year-over-year, about a 6% improvement in volumes in PEM. And about an 8% improvement in HIP. Again, this is 2024 versus 2023.
Jeff Zekauskas: And price?
Steve Bender: Price was down in PEM. It was down about 12% and down about 6% for HIP.
Jeff Zekauskas: Okay. And thinking about your PEM business, your EBIT was negative. Where does that come from? Is that PVC? That is what businesses inside of PEM had negative EBIT.
Steve Bender: And so, Jeff, while we don't break down the discrete strategic business units within PEM, I would say that we certainly saw pressures in that core vinyls chain. And so I would say that, you know, the biggest pressure was really on the vinyl side of that or vinyl's chain, really, in the vinyl's chain, less so in the caustic core core alkali ECU side of that chain.
Jeff Zekauskas: Okay. Great. Thank you very much.
Operator: You're welcome. Next question comes from the line of Aleksey Yefremov with KeyBanc Capital Markets. Line is open.
Aleksey Yefremov: Thanks. Good morning, everyone. Free cash flow in 2024 was relatively modest compared to EBITDA or net income. Could you provide any outlook for 2025? As a percent of EBITDA net income or any other way?
Steve Bender: Yeah. So, Aleksey, I do expect that with the continued strength that we're seeing really in the HIP business and some of the pricing action that we've seen on the PEM side, certainly, that will pull some on working capital, and we certainly gave some guidance for CapEx this year. But I do expect a stronger performance really in the free cash flow generation in 2025. We've seen strength continued as Jean-Marc had in his comments. A number of years, five years growth of performance in the HIP side of the business. As I mentioned earlier, we've seen price initiatives across the product spectrum in our PEM business. And we've certainly seen volume pickup, which is their driver behind the price initiatives. So certainly, I do expect that we'll see stronger growth in our free cash flow generation in 2025.
Aleksey Yefremov: And maybe as a follow-up to that, Steve, as you are growing your HIP business, is that the business that requires more working capital and that will it be more capital intensive and perhaps your free cash flow conversion would be lower as that business grows going forward?
Steve Bender: No. It actually is an asset-light business relative to the PEM side of the house, so it does not require that large on a percentage basis of inventory or working capital relative to the PEM side of the business.
Aleksey Yefremov: Great. Thanks a lot.
Operator: You're welcome. Please standby for our next question. Our next question comes from the line of John Roberts with Mizuho. Line is open.
John Roberts: Thank you very much. On the PEM 1% volume growth, you mentioned that export polyethylene was up. So presumably, the rest of the business had flat to down volume. Epoxy was down. Could you maybe give us some volume commentary on the other parts of the PEM portfolio?
Steve Bender: Yeah. John, we don't usually break out by strategic business unit, those components, but it's clear when you think about the contributions that some of the headwinds we saw were in the core vinyls chain. So as I mentioned earlier, to one of the questions really in the core vinyls chain, and that's really where we saw some pressures not only in price, but also in volumes.
John Roberts: And will the Louisiana tax law change affect the go-forward taxes at all?
Steve Bender: No. The guidance I provided of 23% really reflects the changes that were made. And as I mentioned earlier in my prepared remarks, certainly, we're in discussions with the state about their apportionment allocation. See what we can do to mitigate the economic impact of those recent legislative changes.
John Roberts: Thank you.
Operator: You're welcome. Please standby for our next question. Our next question comes from the line of Michael Leithead with Barclays. Your line is open.
Michael Leithead: Great. Thank you. Good morning, team. I want to go back to the HIP revenue guidance. At the midpoint, I believe it's about 4% growth year-on-year. How should we think about the relative price and volume contributors to that? Should we expect price to continue to be a drag and volumes to be up above that 4% number? Or just how should we think about that?
Steve Bender: You know, this business is very much a regional business in terms of how we think about the discrete markets. And so you can see regarding up on revenues and the conservatism that you see in our guidance for margin, EBITDA margin, is really reflective of the fact that we see a relatively flat number of starts in 2025 relative to 2024. And likely a change in some product mix given the earlier dialogue that we're having with our distributors are servicing these builders. So as we think about the outlook, we continue to see really a strong performing and expect it to continue to perform quite well in the coming year.
Michael Leithead: Okay. But I guess my question was, do you expect price to be negative in 2025 or no?
Steve Bender: No. I think that what you're seeing really is certainly some cost creep coming through on the vinyl side of the business. And we fully expect to be able to handle that through price nominations in our vinyl-related building products. And certainly some of the other inflationary costs coming through in our other components I do expect that we'll be able to deal with that. And discussions with our distributors for products.
Michael Leithead: Okay. Fair enough. And then just bigger picture, you have a very nice building product business that's growing within Westlake Corporation. You highlight the success in a new slide in this deck. But your stock price and your equity valuation today is currently trading cheaper than many of your commodity chemical peers. Guess, how do you think about addressing or closing that valuation discrepancy such as through buybacks, separating the company, or just other means?
Steve Bender: So when you think about the value contribution that our HIP side of the business is delivering, when you think about the overall enterprise value that is there, actually an investor today is actually getting the PEM side of the business frankly for free. And I think, therefore, it reflects the fact that we're really being significantly undervalued as an enterprise. So as you've seen the very strong performance in our business, not only this year in HIP, but over the last five years, and you've seen the guidance we're for the current year of 2025. And I think the market is just frankly undervaluing the entire enterprise of the business.
Michael Leithead: Alright. Thank you very much.
Operator: You're welcome. Please standby for our next question. Our next question comes from the line of Kevin McCarthy with Vertical Research Partners. Your line is open.
Kevin McCarthy: Yes. Thank you, and good morning. Steve, just to follow-up on the comment that you just made, how would you describe the amount of patience that management would have in enduring, you know, a highly undervalued enterprise? In the past, I think you've extolled the virtues of integration, right, upstream and HIP and downstream. For that matter. But if this sort of valuation disconnect were to persist, might you take action in terms of separating the businesses at some point in the years to come?
Steve Bender: Okay. But I understand the question. And when you think about the integration, we see a wide number of benefits of that product integration, but between the PEM side and the HIP side of the business. And so, certainly, we all recognize that the PEM side of the business has been in an extended trough, but you're actually seeing some price initiatives here to address some of the prices that were given up in earlier this year and last year. So I think as those demand volumes begin to pick up on the PEM side and our prices begin to reflect that increased demand, and frankly increased input cost in the form of ethylene and ethane, I believe the market will begin to recognize the real strength and the leverage, the earnings leverage that we have embedded in the PEM side of the business. I think the HIP side of the business we expect to continue to perform very well in 2025. But I think the market is underestimating the earnings leverage that we have in the PEM side of the business as we see volumes and pricing action begin to unfold as we would expect, in 2025.
Kevin McCarthy: Fair enough. I wanted to ask about the recent months. So I appreciate you're reporting the fourth quarter results, but here on the 24th of February, I was wondering if you could comment on your recent demand experience in major product lines like polyethylene and PVC, in January and February relative to normal seasonality. Is that on par or any better or worse than you might have previously anticipated?
Steve Bender: No. I think it's a good question, Kevin. And so if you think about and I'll start first with polyethylene. As you think about our polyethylene business, we continue to see good strength in demand on that front. And I think you're aware that we've had price initiatives out in January and February and now March for polyethylene. And while not all of those have yet settled, February is not settled nor of course, March, that is reflective of good demand. Of course, there is some cost creep we're seeing in our inputs, but I think it's also reflective of the export market that we're seeing, and that's really the strength behind these price nominations in polyethylene. Likewise, when you think about our caustic businesses, we've also seen a series of announcements by others as well as our own that will go into effect in April of this year. You may be aware that we've made some nominations of price. And, again, that's based really on the strength we're seeing in across the space in the business but certainly also coming from the alumina side, which is a significant absorption market for caustic soda. So when I think about PVC, you know, you heard my comments around building products and, of course, that's going into pipe and siding and trim, which is pulling on PVC volumes. So we've also made nominations in February and March for price increases in our vinyl resin. And we do think the strength we're seeing downstream should help us with some of those price nominations in vinyl.
Kevin McCarthy: Perfect. Thank you very much.
Operator: You're welcome. Please standby for our next question. Our next question comes from the line of Josh Spector with UBS. Your line is open.
Josh Spector: Yeah. Hi. Good morning. Steve, I wanted to ask about the price decline sequentially in PEM. In terms of the light you posted, it seems to be a decent amount lower than some of the headline prices that have been out there. I assume a decent chunk of that is you serve more to the spot market than the contract market as you normally do seasonally. I'm curious if you could answer, did you sell more into the spot or export markets than you typically do, and how do you expect that to trend over the next couple quarters? Is that mix in PEM potentially a tailwind over the next couple quarters?
Steve Bender: No. It's not really a mix between export and domestic sales. I you know, it may be more of a product mix than it is necessarily an export versus domestic mix because many of our peers don't have the degree of product mix that we have in our caustic and our core vinyl polyethylene portfolio.
Josh Spector: Okay. Understood. That's helpful. If I could just ask one other on pricing. One of the main consultants did a pretty big adjustment to contract posted prices. And sometimes when this is done, there's some other discounting behind the scenes or some other moving parts. Just curious if you can comment on your realized price on domestic markets and PVC and if that had any impact either in the quarter or as you look at the next couple of quarters?
Steve Bender: You know, and so as we think about well and you've seen the results in the fourth quarter across the space, but I would say prospectively look forward into the current quarter. We certainly have seen some of these industry consultants really up their expectations of settlements in February this month. And certainly their expectation in March. So while we and several of our industry peers have got nominations that are higher than what some of these industry consultants are speaking to, I think the fact they're recently upping their expectations and their forecast signals the strength that we're seeing in our in these markets as well. So as we look forward, we're looking forward to settling here at the end of the end of the month in February in all products. But also, I would say, specifically, some of the consultants, especially those that are looking at the demand picture. We're certainly seeing that demand picture, which is why we're moving prices in vinyls, epoxy, plastic, and polyethylene, all higher.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Michael Sison with Wells Fargo. Your line is open.
Michael Sison: Hey. Good morning. In terms of the 20% to 22% EBITDA margin outlook for 2025, do you see that as sort of your trough margin, meaning if existing if, you know, housing starts finally improve and if the home sales finally improve, does that margin go up from here?
Steve Bender: Well, you certainly have seen what we delivered in 2024. And that was a very strong EBITDA margin. And certainly, as we think about growing this portfolio and its growing the recognition of this portfolio, I should say, and recognizing the ability to deliver on time all the time is really giving us an opportunity to have a dialogue with our customers and our customer's customer. While the guidance this year for 2025 is more a conservative guidance as we look forward and somewhat a it's also an expectation we'll continue to grow the business from a revenue perspective and look to work with our partners our customers, to make sure that we can provide products on time all the time.
Michael Sison: Got it. And then as a follow-up, for PEM, you know, 2024 looks like a trough year, obviously, and it feels like most folks have said in these areas that 2025 could be another trough year. So do you think anything gets better in terms of the fundamentals for chlor alkali or polyethylene and direction should EBITDA just be similar in 2025 versus 2024? Are there potential for improvement? I mean, could it get worse given how the markets are looking?
Steve Bender: So, Mike, as you know, we don't provide direct EBITDA guidance for the PEM side of the business, but I do think you've seen from our price nominations here that we're seeing some improvement in overall demand and that price action that we've spoken to earlier in the call have also been reflective of that increased demand. But as you know, well, we don't provide direct EBITDA guidance for the current 2025 year in PEM.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Hassan Ahmed with Alembic Global Advisors. Your line is open.
Hassan Ahmed: Morning, gents. You know, just wanted to go back to the question about so just wanted to go back to the question about value recognition. Know, particularly with what you guys are guiding to and have reported within the HIP segment. I mean, one of the interesting lines that I sort of came across in your prepared remarks was how you know, such a large offtake of PVC resin from the PEM segment goes into the HIP segments, obviously, you have lesser exposure to weaker economy. So, obviously, you're benefiting, you know, from this dynamic on the PEM side. You're benefiting from the integration. On the HIP side of it. I mean, you know, so clearly, separation is out of the question. So, again, going back to sort of getting a bit more granular around what it'll take for value recognition to happen. Is it just as simple as quarter after quarter, you guys reporting results which are better than, you know, both your PEM and HIP peers and the market eventually waking up to that concept?
Jean-Marc Gilson: Yeah. Let me take this one. So it's Jean-Marc here. So I think one of the really good news, I mean, that you heard today is the fact that the HIP business has been growing for five years year on year continuously. So over the last five years, you've seen the share of that business, both in terms of sales and earning, to grow in the company. And we expect that to continue in the future. As you can see in the numbers, we now generate about 50% of the EBITDA in the HIP side and probably around 85% on the operating income side. So these two businesses, you need to look at them as two siblings in the same family. They share the PVC certainly in our company. And it allows us to really sell some of our product at different points in the value chain, and we expect that in the future, you're gonna continue to see HIP growing, providing a very stable foundation for the company with a significant growth potential and really good EBITDA margin in general. So having said that, I think it was mentioned many times today, the PEM can be seen a little bit in a tough situation right now. We're very strong also in PEM. We have a real cost advantage being where we are situated, we are very careful about our cost, very low SG&A, and so as the business bounces back, you will see that business, which is cyclical a little bit more in nature, to bounce back and provide really strong cash flow generation and EBITDA generation in the future. So from where we are, I think we are in a really good position to continue to create value certainly on the HIP side and then a bounce back on the PEM side. So we really like where we are. We're gonna continue to invest in both segments but certainly with a little bit of a push on the HIP side to continue that five-year growth that we enjoyed over the last five years.
Hassan Ahmed: Very helpful. And as a follow-up on the PEM side of things, you know, so I could get a bit more specific around chlor alkali in particular. And I understand, you know, I mean, your exposure obviously is far more on the merchant side to the caustic soda market. But, you know, a couple of consultants have come out with fairly negative sort of views on the near to medium-term prospects of chlor alkali. You know, particularly taking a look at some of the capacity increments that are happening and also where sort of margin where current pricing, you know, for the ECU sits. Relative to the marginal producers, and it seems, you know, the ECU price is still significantly higher than marginal producer economics suggesting maybe, you know, downside in pricing. And that, you know, to me seems a bit divergent relative to the comments you guys were making on caustic soda pricing. So what am I missing over here?
Steve Bender: So, Hassan, I'd say one of the items I tend to pay attention to is really their price outlook. And if you look at their average price for 2025 from one of the larger consultants, they're actually higher than they are for the year of 2024. So while, of course, there is some incremental capacity in the marketplace coming with two domestic producers adding some capacity in the current over the last two years. I'd say that the demand picture that we're seeing is reflective of the price nominations that I spoke to earlier. And if you look at with a close eye on the ending price for the end of this year and the average price for this year, they're actually higher than the average price that we experienced in 2024. And so as we think about the market, we see every day in the commercial markets, talk to the consultants as well, actually come away with a view that we think the markets are more constructive than what I heard you ask in your question.
Hassan Ahmed: Very helpful, Steve. And thanks, Jean-Marc.
Operator: Please stand by for our next question. Our next question comes from the line of Frank Mitsch with Fermatium Research. Your line is open.
Aziza: Hi, guys. Good morning. It's Aziza on for Frank. I had a question on the PVCO pipe plant project. Could you remind us on the timing and associated cost for that construction project?
Steve Bender: Yeah. So the plant really is expected to come on next year, and so we have four lines that will come on as we hope to bring on more volume. This is Aziza. This facility is in North Texas and Wichita Falls. And allows us to really serve a growing market that we see in that marketplace. And so we're really excited about that. As you may recall, we're already producing PVC pipe. And so it's a market that we're seeing really embrace this, I think, unique and sustainable product. And as you have heard, it puts through the throughput is a higher incremental volume given the diameter of the pipe. It uses less resin, so it has sustainability. And from a market adoption perspective, it's been well adopted. And well appreciated, which is why we're adding the capacity. So we're looking forward to that start-up in 2026.
Aziza: Okay. And, Steve, any comments on how costs are trending on it?
Steve Bender: Yeah. Aziza, we've not announced the capital cost for that project.
Aziza: Okay. And then, you know, within the corporate EBITDA line, we saw 2024 kind of, you know, increase roughly $30 million year-over-year. Any comments you can make on 2025 corporate EBITDA?
Steve Bender: On the corporate side, I would say and you noticed that, certainly, we do have a significant cash balance and given the upward sloping yield curve we see in interest rates, that cash is earning interest until we find a better way to deploy it. And so, certainly, I would say that we're looking for ways to add even greater value than just generating interest income on cash balances.
Operator: Thank you. You're welcome. Please stand by for our next question. Our next question comes from the line of Matthew Blair with TPH. Your line is open.
Matthew Blair: Thank you, and good morning. Could you discuss the M&A landscape? I know there are a few comments looking to how you're looking to deploy capital going forward. And you have the nearly $3 billion in cash sitting on the balance sheet. Has deal flow picked up, or is it declining, and are you interested in any PEM assets or would this be mostly in HIP?
Steve Bender: Yeah, Matthew. That's a good question. And I would say that we look at both sides of the business. We look at PEM assets as well as HIP assets. But when you think about those that are going to be able to provide the nearest term upswing that we see, you know, I would say that looking at opportunities to grow the HIP business would probably be where we would lean in somewhat. But it's all about the right value proposition that any asset brings to the table. So if we're presented with good opportunities on the PEM side, we would certainly look very possibly toward that. So we look at both sides of the house. And I would say just the bias in terms of where we see the best upside for the deployment of any asset that's gonna generate that free cash flow. And given the stage of the PEM side of the business, it's more likely to see a more stronger, earlier contribution on the HIP side. But we do look at both sides of the house on a regular basis. I'd say the tone continues to be good. I'd say that the dialogue is constructive with owners of assets that are looking to divest or redeploy their portfolio. I'd say as we talk to those asset owners, their expectations still probably need to be triangulated in terms of where the market expectations are. But I would say there's very good dialogue between ourselves and those asset owners.
Matthew Blair: Sounds good. And then the past two years, HIP has had a pretty big quarter-over-quarter improvement in EBITDA margins. If you compare, you know, Q4 going to Q1, the starting point this year is 19%. So how likely is it that the HIP EBITDA margins in Q1 2025 would actually be higher than your full-year 20% to 22% guidance?
Steve Bender: And so, Matthew, part of this is also a function of how the season weather-wise plays through. When you think of the weather, typically, the construction season starts in February, late February through March, but it's very weather-dependent. And so I would say that the dialogue that we're having with many of our customers, distributors, but we do talk to the builders directly. I would say they have a positive look to start the year. And so we look forward to that. But it's very somewhat weather-dependent. And as you know, this is somewhat regional. In northern parts of the country, it will remain cooler, and so there may be areas in the northeast that remain cooler. Areas down in the Gulf Coast or the west, the southeast may have an earlier construction season. So we have an outlook that, and you saw my commentary earlier in our prepared remarks, where we see a good start to the construction season at this stage, the spring season.
Operator: Great. Thank you. Please standby for our next question. Our next question comes from the line of Pete Austerline with Truist Securities. Your line is open.
Pete Austerline: Hey. Thanks for taking the question. Within HIP, growth into your infrastructure revenue stream turned positive in the fourth quarter for the first time in several quarters. What is your outlook for growth into infrastructure during 2025 relative to your overall guidance for HIP?
Steve Bender: Yeah. So when we think about the infrastructure business, you know, certainly our pipes fittings business, and compounds remains a very good contributor. And so you saw that we saw a good contribution in pipes and fittings business in the fourth quarter. And as we think about this being a leading indicator in the construction business, because you're gonna put that infrastructure in before you do any other surface work. So we see this as a strong indicator that we expect that the pipes and fittings business shall continue to move forward in a positive manner. On the compounds business, which is embedded in that infrastructure component of HIP, we continue to see that as a nice contributor. It's performed well. Remember, the markets that we're servicing are wiring, cabling, automotive, and health. Certainly, we're seeing good indicators from a demand picture in all three of those categories.
Pete Austerline: Alright. I'll leave it at one. Thank you.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Arun Viswanathan with RBC Capital Markets. Your line is open.
Arun Viswanathan: Great. Thanks for taking my questions. Hope you guys are well. I guess, like, maybe I'll just ask about the pricing side again and the demand side. So it sounds like from your comments, you are seeing some potential green shoots, slightly better demand. Maybe you can just elaborate on that in PEM, what you're seeing there. And similarly, I think you noted that price was down 12% in 2024, and I think you noted that you do expect price to finish the year higher in 2025 versus 2024. So would you expect to make up all of that 12% ground and that'll be led mainly by the chlor alkali side? I know epoxy and vinyl maybe still seem a little bit challenged, but maybe you can just kind of provide a little bit more detail on both demand and price in PEM. Thanks.
Steve Bender: Yeah. Arun, good question. And my comment really was higher pricing at the end of this year was more focused on the caustic side. But I would say certainly we've seen price nominations really in caustic and PVC as well as in polyethylene. And so as we look forward, the demand picture that we're seeing is supportive of that as well as seeing higher costs come through in the form of ethane and ethylene. So as we look forward with those higher cost inputs, I want to make sure that we try to get these price increases. Those are important to be able to maintain the kind of the value proposition these products deliver. But I would say we're also seeing reasonably good demand, which is why we're looking also raising prices. It's not all cost push. That's a big piece of it, but it's also demand picture. So as we think about the conversation we're having with our customer base, that's what's really driving these nominations across that product front.
Arun Viswanathan: Great. Thanks for that. And then I just wanted to ask about the potential pending PVC litigation. Any comments there? I know that some of the other players have been have received a US DOJ subpoena. Is that something that you guys have any updated comments on? Thanks.
Steve Bender: Yeah. It's a good question. And because it's an active litigation matter, I really can't speak to that, and so I just have to leave it there.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Vincent Andrews with Morgan Stanley. Your line is open.
Turner Hinrichs: Hi. This is Turner Hinrichs on for Vincent. So I was wondering how do you think about the relative priority of reducing your net short position in ethylene versus potential M&A on the HIP side of the business? And do you have any color on the cost that it would take to debottleneck your cracker JV to free up capacity? That's the route you would choose to take.
Steve Bender: Yeah. It's a good question. As we think about that, we do look at acquiring additional ethylene in the same context as we look at acquiring any other business. So it really is about what kind of value proposition that might bring. You know, given the expansions that we have and plans to bring additional VCM to the market, our buying of ethylene to the market will continue to grow. And so it is important that we find a way cost-effectively to be able to try to shorten that merchant position, ethylene. But we want to do this in a cost-effective value-added way. So as we think about that, there could be a variety of ways to do that. As you mentioned, we could also debottleneck the JV cracker we have in Louisiana. We certainly would want to look at that and see if our partner would want to participate. And so we'd have to then finish our work in terms of getting a fresh look at the cost on a dollar per pound investment basis. As we all know, there's been labor inflation and materials cost inflation. So I wouldn't want to rely on anything that we've done in the past couple of years as an indicator of capital cost for that. We'd want to refresh that estimate to get a better read in terms of what the capital cost to debottleneck that cracker could be. But it typically can be debottlenecked, call it, roughly in the 40% range of that installed capacity today. It's a 2.2 billion pound cracker, and we own 50% of that. And so if our partner takes their share, we'd only get 40% of our 1.1. If they choose not to, we can get all of that. But we'd have to really refresh our capital estimates to really get a fresher look in terms of whether that makes economic compelling sense to do.
Turner Hinrichs: Great. That makes sense. Appreciate all the color. And on the cost savings plan, so you all mentioned $125 million to $150 million of targeted cost savings this year. What do you expect the cash costs of these savings to be?
Steve Bender: These are straightforward. This is largely a lot of negotiations. So there isn't really a lot of cash outlay in this process. So as I mentioned, a lot of this is procurement activity, logistics activity. Obviously, belt tightening and simply just not spending in some cases. And so really the cash outlay is pretty minimal. A lot of this is just being much more prudent in this kind of cycle where we are. And tighter negotiation with all parties.
Turner Hinrichs: Right. Thank you so much.
Operator: Thank you. Ladies and gentlemen, at this time, the Q&A session has now ended. Are there any closing remarks?
John Zeller: Thank you again for participating in today's call. We hope you will join us again for our next conference call to discuss our first quarter results.
Operator: Thank you for participating in today's Westlake Corporation fourth quarter and full year earnings conference call. As a reminder, this call will be available for replay beginning two hours after the call has ended. The replay can be accessed via Westlake's website. Everyone have a wonderful evening. Thank you for joining the call. Good night.